Operator: Good morning. The Roper Technologies Conference Call will now begin. Today's call is being recorded. [Operator Instructions] 
 I would now like to turn the call over to Zack Moxcey, Vice President, Investor Relations. Please go ahead. 
Zack Moxcey: Good morning, and thank you all for joining as we discuss the first quarter 2024 financial results for Roper Technologies. Joining me on the call this morning are Neil Hunn, President and Chief Executive Officer; Jason Conley, Executive Vice President and Chief Financial Officer; Brandon Cross, Vice President and Principal Accounting Officer; and Shannon O'Callaghan, Vice President of Finance.  
 Earlier this morning, we issued a press release announcing our financial results. The press release also includes replay information for today's call. We have prepared slides to accompany today's call, which are available through the webcast and are also available on our website.
 Now if you please turn to Page 2. We begin with our safe harbor statement. During the course of today's call, we will make forward-looking statements, which are subject to risks and uncertainties as described on this page, in our press release and in our SEC filings. You should listen to today's call in the context of that information. 
 And now please turn to Page 3. Today, we will discuss our results primarily on an adjusted non-GAAP and continuing operations basis. For the first quarter, the difference between our GAAP results and adjusted results consists of the following items: amortization of acquisition-related intangible assets; financial impacts associated with minority investments; and lastly, transaction-related expenses associated with the completed acquisitions. Reconciliations can be found in our press release and in the appendix of this presentation on our website. 
 And now if you please turn to Page 4, I'll hand the call over to Neil. After our prepared remarks, we will take questions from our telephone participants. Neil? 
Neil Hunn: Thank you, Zack, and thanks to everyone for joining our call. We're looking forward to sharing our first quarter results and our increased outlook for the year.
 As we turn to Page 4, you can see the topics we'll cover today. I'll start by highlighting our strong performance in Q1. Jason will then go through our financial results in more detail, review our balance sheet, including our M&A capacity; and finally, our notable cash flow performance. Then I'll walk through our segment highlights and discuss our increased guidance for the full year and initiate our Q2 guidance. After our closing remarks, we'll open the floor for your questions. 
 So let's go ahead and get started. Next slide, please. As we turn to Page 5, 3 key takeaways for today's call. First, we delivered another strong quarter results. Second, we're increasing our full year outlook. And third, we continue to be very well positioned relative to capital deployment. We double-click a bit. We grew total revenue by 14%, organic revenue by 8% and EBITDA by 16%, with EBITDA margin expanding by 60 basis points to 40.2%. 
 We grew DEPS by 13% to $4.41 beating our guidance range. We grew free cash flow 15% year-over-year with free cash flow margins of 31%. We also completed the acquisition of Procare Solutions, a leading provider of software and integrated payments for the early childhood education market for $1.75 billion. Procare is a great addition to Roper. We remain very excited about the business and are especially pleased with the initial results and progress we've made during the onboarding process. 
 We're also increasing our full year 2024 guidance for total revenue, organic revenue and DEPS reflecting our strong momentum and continued confidence in our outlook. And we continue to be very active in the M&A market, an environment that continues to improve and one where we have a very large pipeline of high-quality and attractive opportunities.
 Net-net, we're quite bullish about our ability to be active on the M&A front this year. As you can see, we had a great start to 2024, and we're well positioned to deliver yet another strong year of performance and growth. Now let me turn the call over to Jason. Jason? 
Jason Conley: Thanks, Neil. Let's dive right in on Slide 6. Q1 was an excellent first installment to 2024. Revenue was 14% over prior year to $1.68 billion. Organic growth of 8% was led by double-digit growth at our TEP segment and solid mid-single-digit growth across our application software and network software segments.  
 Of note, organic recurring revenue grew 7% and despite known headwinds at our Freight Match and Foundry businesses. Acquisitions contributed 6 points of growth led by Syntellis, which is a large bolt-on for our Strata platform that closed in Q3 of last year, and Procare, which closed at the end of February.  
 Regarding Procare, integration is going really well, and we're excited to work with [ Joe and Kinzel ] and her team to drive continued growth and innovation in the attractive early childhood education market. EBITDA was $676 million, which was 16% over prior year. EBITDA incremental margin of 44% translated into EBITDA margin of 40.2% and represented 60 basis points of expansion. This was fueled by gross margin expansion of 100 basis points to 70.3%.
 Our market-leading businesses compete on customer intimacy and deliver demonstrable value to their customers which we consistently realize in our high gross margin profile. Debt of $4.41 was above our guidance of $4.30 to $4.34. Importantly, free cash flow was strong at $513 million, up 15% over prior year and our trailing 12-month free cash flow surpassed $2 billion for the first time in Roper's history.  
 Looking over a 4-year horizon, revenue and EBITDA CAGRs are 13% on a quarterly basis. For free cash flow, we take a broader lens and a review on a trailing 12-month basis, which generated an 11% CAGR over this period. Adjusting for cash tax payments related to Section 174 which went into effect and impacted the period -- the current period's free cash flow by $80 million.  
 The normalized CAGR is 13% over this period. For 2024, we still expect free cash flow margins of 30% or more. With that, we can turn to Slide 7 to talk about our balance sheet. Following our Procare acquisition, our net debt-to-EBITDA ratio came in at 2.9x at quarter end. Our revolver, which provides us with $3.5 billion of immediate liquidity was utilized to fund the Procare acquisition, bringing the drawn balance to $1.75 billion.  
 With strong, consistent cash generation and a well-positioned balance sheet, we have the capacity to deploy $4 billion or more towards high-quality acquisitions. And I'll reiterate our commitment to remain a solid investment-grade issuer as access to investment-grade capital markets is fundamental to Roper's strategy. In terms of what we're seeing in deal markets, our pipeline of acquisition opportunities is growing and quite attractive. As always, we will remain patient and disciplined in allocating capital to opportunities with highest risk-adjusted returns for our shareholders.
 With that, I'll turn it back over to Neil to talk through our segment detail and updated guidance. 
Neil Hunn: Thanks, Jason. As we turn to Page 9, let's review our Application Software segment results. Revenues here grew by 18% in total and organic revenue grew by 6%. EBITDA margins were 43.3%. We experienced strong performance across this portfolio of businesses.
 We'll start with Deltek. Our enterprise software business survey the government contracting, architecture, engineering and construction contractor markets. Deltek continued to grow at SaaS solutions, especially within their private sector markets. Importantly, in the quarter, Deltek launched a new GenAI-powered digital assistant Dela which will be integrated across Deltek's core software applications. We also welcome Bob Hughes as the new CEO of Deltek. Bob brings a wealth of software and leadership experience to the role having most recently served as the Chief Customer and Strategy Officer at UKG. Bob, we're thrilled to be working with you.  
 We also welcome Mike Corkery into his new role as a full-time group executive within Roper. For those who do not know, Mike was Deltek's CEO for nearly 12 years, more than standing our entire ownership period. Mike, thank you for building a tremendous market-leading company. Not only is Deltek grown multifold during their leadership tenure, the underlying quality has massively improved and the culture has never been better. Thank you for everything you've accomplished and we're very much looking forward to working with you in your new leadership capacity at Roper. 
 Aderant continues to perform incredibly well in the market and had another great quarter with continued SaaS momentum and GenAI-focused innovation. Vertafore also performed well with solid growth in their ARR base.  
 Turning to PowerPlan. Our financial planning and tax software business serving the heavy fixed asset industries, PowerPlan was impressive in the quarter and grew its ARR with strong customer retention and adoption of its new SaaS solution. Great job here. Our healthcare IT businesses led by Strata and Data Innovations were also strong in the quarter. We're especially pleased to see the solid go-to-market execution at both businesses.
 Finally, as I mentioned a few minutes ago, we completed the acquisition of Procare Solutions, which is off to a good start and complements this segment with a higher organic growth profile. For the remaining 3 quarters of the year, we expect to see mid-single-digit organic revenue growth for this segment.  
 Please turn with us to Page 10. Revenues in our Network Software segment grew 5% in total and 4% on an organic basis despite the fact we continue to experience pressure with our Freight Matching businesses and the impact on Foundry related to the recent actor strike and writer strike. EBITDA margins continue to be strong at 55.9% and grew about 10% and year-over-year. As we dig into the details of it, we'll start with our Freight Matching businesses, DAT & Loadlink which declined slightly as expected due to the challenging freight market conditions that affected each of these businesses. 
 As is typical for Roper, we invest for long-term sustainable and improving levels of organic growth. In DAT's case, we're leading the industry with GenAI-enabled fraud detection and prevention tools. As many know, fraud across the transport ecosystem remains a cause of great concern and economic loss.
 Turning to Foundry, which continues to innovate at an impressive clip both in terms of major product enhancements and customer productivity-based AI/ML innovations. That said, Foundry declined a bit in the quarter as expected, given the recent industry strikes. Notwithstanding the headwinds of DAT, Loadlink and Foundry, we grew 4% organically in this segment based on the strength across the balance of this portfolio.
 Specifically, iPipeline, our life insurance and annuities network software business had strong renewals, customer expansions and market activity, especially in the annuities market. ConstructConnect continued its solid mark but improved financial results and enhanced its network value with GenAI-powered solutions. And MHA had a strong quarter, benefiting from increased operational focus and rigor revenue timing related to one of MHA's data partnerships and improvement in senior care occupancy rates.
 For the balance of the year, although we did a touch better than expected in the first quarter, we continue to expect to see low single-digit organic revenue growth for this segment based on the continued difficult freight market conditions and our view that foundries recovery will be extended through this year. 
 Now please turn to Page 11, and let's review our TEP segment's results. Revenues here grew 17% on an organic basis and EBITDA margins remained strong at 34.3%. Neptune continued to see notable customer demand, in particular for their ultrasonic meters and meter data management software. In short, Neptune delivered another quarter of growth. Verathon had very strong growth across all 3 of its product families and executed at an exceptional level in the quarter. 
 Of note, Verathon had a record number of large account wins further demonstrating their market momentum. Great job by team Verathon. We also had strong execution and growth led by healthcare end markets from CIVCO, Inovonics, IPA and rf IDEAS.  
 As we turn to the outlook for the balance of the year, let us remind you that we expected to have a stronger first quarter, which we delivered. That said, for the balance of the year, we expect to see organic revenue for this segment to be in the high single-digits area. 
 Now please turn to Page 13. Now let's review our increased full year 2024 guidance and discuss our Q2 outlook. Based on our strong Q1 results, enterprise momentum and our confidence in our outlook, we are raising our guidance for 2024. For the full year, we now expect total revenue to grow in the 12% area, up from our initial guide of 11% to 12%. Organic revenues to grow about 6%, up from 5% to 6% originally and adjusted DEPS to be in the range of $18.05 and $18.25, up from $17.85 to $18.15 previously.  
 Our guidance continues to assume a full year effective tax rate in the 21% to 22% range. For Q2, we expect adjusted DEPS to be in the range of $4.42 and $4.46. Now please turn it to Page 14, and we'll open it up for your questions. As per custom, we'll conclude with the same key takeaways with which we started.  
 First, we delivered another strong quarter results. Second, we're increasing our outlook for the full year. And third, we are very well positioned relative to capital deployment. For the quarter, we delivered double-digit growth in revenue, EBITDA, adjusted DEPS and free cash flow with margin expansion and very strong cash flow conversion. Also in the quarter, we completed the acquisition of Procare Solutions, which is a great addition to our enterprise and our application software segment.
 And we're increasing our full year 2024 guidance for total revenue, organic revenue and DEPS reflecting our confidence in our outlook and continued momentum. Finally, we continue to maintain a strong financial position with $4 billion plus of capacity for capital deployment. The M&A markets are very active. We have a very robust pipeline of attractive acquisition opportunities that we're excited to pursue with our unbiased and disciplined approach. 
 We're quite bullish about our ability to execute this part of our strategy over the course of 2024. Now as we turn to your questions, and if you could flip to the final slide, our strategic flywheel, we'd like to remind everyone that what we do at Roper is simple. We compound cash flow over a long arc of time by operating a portfolio of market-leading application-specific and vertically oriented businesses. Once the company is part of Roper, we operate a decentralized environment, so our businesses can compete and win based on customer intimacy. We coach our businesses on how to structurally improve the organic growth rates and underlying business quality.
 Finally, we run a centralized process-driven capital deployment strategy that focuses on finding the next great business to add to our cash flow compounding flywheel. Taken together, we compound our cash flow over a long arc of time in the mid-teens area.  
 With that, we'd like to thank you for your continued interest and support and open the floor to your questions. 
Operator: [Operator Instructions] Your first question comes from Julian Mitchell from Barclays. 
Julian Mitchell: Maybe just a first question on the network software division. So the freight markets, I think there was a fairly sort of down the outlook from some of the U.S. trucking companies in the past couple of weeks. It sounds like that business for you on Freight Matching is playing out as expected. 
 Are we expecting sort of down-low single digits for the balance of the year in the freight match business? Is that what you're kind of dialing in? And any comments on where we are on the sort of carrier consolidation? 
Neil Hunn: Why don't you take Jason the first one, I'll say the second one. 
Jason Conley: So Julian, it's -- like you said, it's about playing out as we expected, down low singles for the year. Not much change from our perspective last quarter. So yes, that's kind of the current guiding assumption. 
Neil Hunn: And as far as on the carrier side, it's actually been pretty stable for the last several months. It hasn't improved. It has been stable. And when you take that stability and you put it against the prior year comp, that's what drives to the outlook for the year. 
Julian Mitchell: That's helpful. And then just dialing in on the second quarter EPS guide. I think normally, you'd have maybe sort of a 3%, 4% type sequential increase in earnings in the second quarter, looks like it's basically flat at the guide midpoint for this Q2, is there anything going on sort of sequentially with any of the segment sales or margins that's abnormal or something below the line that's weighing on that? 
Jason Conley: No, not really. I mean we feel good about our guidance being raised for the full year. And if you look -- we look back a quarter ago, our Q2 guidance is consistent with what we thought 90 days ago. So I think if you go back to like '21 and '22, we were actually flat Q1 to Q2 on like a segment EBITDA basis. And that's usually the normal motion for us. Last year, we did move up sequentially, but that was driven by some [indiscernible], there were some strong deliveries led by Verathon and then this year, Verathon is coming out strong out of the gate. So we don't have that dynamic this year. 
 And then usually, AS steps down a little bit in earnings due to some Vertafore timing, but we didn't have that dynamic last year. So I think we feel good about sort of the progression from Q1 to Q2 on an operating basis. And in terms of the second half, we'll start to see the accretion of Procare with this -- it's got sequential growth throughout the year and then we'll have, of course, reduced interest expense as we pay down the revolver. So I feel pretty good about the progression going throughout 2024. 
Operator: Your next question comes from Deane Dray with RBC Capital Markets. 
Deane Dray: Since it's the newest addition to the team on Procare, just some data points. So what was the contribution in the quarter? And reminds us about any kind of seasonality on the cash flow because it is tied to education. So we know that it tends to be seasonal. And any sort of like first 100-day plans for the business? 
Neil Hunn: Yes. So if I can hit that, Deane. So it was about what we expected. We had a couple more days in, but it was a little over $20 million of revenue came in sort of about as we expected in terms of EBITDA margin in the mid-30s or so. And then I think what we -- from a cash flow perspective, it's more of a monthly sort of payment stream. So we don't get -- it's not like a frontline where they've got big renewals and the schools are paying them. 
 This is childhood education centers that are just sort of paying on a monthly basis, of course, there's a payment stream there, too, that we get that comes on a monthly basis. So it's more consistent throughout the year. And I think we're just off to a really good start in terms of the integration work.
 Of course, teams are quickly up and running from a financial standpoint. We're working through all the normal integration points around insurance and cyber and things like that. And then beyond that, we've been engaged in weekly conversations on progress against some defined value creation levers that we had around growth, and those are going really well. And super collaborative teams digging in and we're really on track for the milestones we agreed upon right after close. So just feeling really good about the momentum there. 
Deane Dray: And the normal cadence for the monthly is revenue cadence is approximately what? 
Neil Hunn: It's consistent, right? So it's just -- if you think about software is obviously consistent month-to-month. And then the payments, they might get a little bit more at the beginning of the year, but it's modest. It's pretty consistent throughout the year. Of course, they're growing, right? So it's going to -- it will ramp up sequentially throughout the year. But just overall, in terms of a business model, it's pretty consistent throughout the year, not a lot of seasonality. 
Zack Moxcey: If you're comparing this to front line, where most of the cash flow comes in Q3, this is not that. This is much more linear throughout the course of the year. 
Deane Dray: That's great. And then just a follow-up on the fastest growth platform right now is surprisingly on the tech-enabled products, Neptune is just how -- what's expectations for this growth rate? How much of this -- because we see similar numbers at like Badger meter. So it looks in line, but how much of this is market growth versus any sort of share gains that you might be realizing? 
Neil Hunn: Yes. So for a long -- Deane, as you know, Neptune over a long arc of time is a slow and steady share gainer for sure. I think it proves out in all the market data we see and continues to research it. Relative short-term performance, we think it's a combination of a couple of things. 
 First is there has been -- they're working through an unprecedented amount of backlog. So that has certainly happened. But then when COVID happened and the Northeast, in particular, where a lot of the meter sets or inside people's homes versus outside, there was basically a stall of that activity yet the customers -- our customers still have obligations to stay on their maintenance schedules. 
 So if there was 1 year, 1.5 years of slower maintenance schedule sort of execution, that's being deployed now. We think that's happening over a 3-, 4-year period. So if you will, maybe 5 or 5.5 years demand squeezed into 4. So that's the market dynamic that's driving some of the growth that we're very much in the midst of. We expect that to continue well in the next year. 
 Final thing I'd say is there's just nice momentum on the new technologies that Neptune has in the field, both in terms of solid state  ultrasonic meters, both on the resi side and large commercial side as well as just the cellular and the meter data management software that we have that really helps our customers have better network connectivity. 
Operator: Your next question comes from Joe Vruwink with Baird. 
Joseph Vruwink: When you consider the businesses that serve clients in the public sector, how are they planning for the balance of the year, just particularly around the election and then the end of stimulus in certain cases? And I ask about stimulus not because a business like frontline has benefited from that. But does just the shifting of revenue sources for a school district perhaps cause a pause in their decision-making? 
Neil Hunn: Yes. So we got -- it depends on which part of the market you're talking about. Education, our frontline business was not and has not been a meaningful beneficiary of [ ESR ] funding. And so as that is coming to an end, we've not been a direct beneficiary of that. There might be some secondhand or thirdhand benefit by that, just having school districts having a lot of money over the last years and feeling good about life. 
 But we've not -- none of what -- we don't believe anything that we sell has been directly funded by [ ESR ] funding. So the pipeline coverage -- first of all, frontline had a very solid first quarter booking. Pipeline on the second quarter is very good. And so we're cautiously optimistic there. 
 The other part of the market that we've talked about is on U.S. Federal Government contractors, the enterprise class, the largest customers, the largest government contractors just with the uncertainty of government spending that has been a more tepid macro environment and slower on the bookings front on the largest of the customers. The SMB portion of that market actually has been quite strong for Deltek. So if you want to talk about other parts of portfolio happy to do it. But Jason, anything you want to add to that? 
Joseph Vruwink: Yes, yes. No, those are the 2 that I had in mind. And then if I can ask, I guess this is a pretty targeted segment level question. But the reoccurring revenue sources for application software really look like they jumped this period, maybe about 2 points more in growth contribution than typically you see there. Just what drives that particular part of the business? 
Neil Hunn: Yes. Joe, that's the Procare business coming online, right? So we talked about 75% or so of their revenue is payments. And so that's showing up in the recurring line. 
Operator: Your next question comes from Scott Davis with Melius Research. 
Scott Davis: I think this was more positive in tone on the M&A side commentary wise, and I think we usually get from you guys. You're never really that bearish. But talk to us about -- a couple of things, a little bit more color there. Is it the number of deals? Is it the valuations have gotten more interesting? Is it the competition on the buy side has gotten a little bit better? I mean just drill down a little bit into that, it would be helpful. And kind of a natural secondary is you say $4 billion of fire price, is that enough? And would you consider tapping equity markets if the deal flow was going to be even more robust? 
Neil Hunn: A lot in there, Jason and I'll do our best to cover all points, if we don't cover one pull us, I'll bring it back to it. So we're very optimistic at the moment. I think it's for really all the reasons you talk about. So there are a very large number of deals in the market and coming to the market. 
 We have very good instrumentation relationships with both the sponsors and all the investment banker intermediaries, the bankers, pipelines are full. And so there is just a lot of stuff coming. So why is that? There was essentially not a lot of stuff for [ 18 ] or so months prior. So in the private equity world, it's all about DPI and getting money back to the LPs. 
 The LP pressure is mounted to the point where they want the capital return. And so we're just going to compress 2.5 years worth of deals in 1 year, 1.5 years. And so there's going to be a lot of activity. Relative to the competition point, because of this -- this is our belief, my belief for a window of time here that the asset class of private equity that we compete with is going to be a net seller of assets versus a net buyer here for a period of time. 
 So Procare is an indication for what's to come, then the competition is less. It's not without competition, but it is less than we've seen for in prior periods, which leads to valuation. I mean if you look at the Procare valuation, I mean that was a very high growth, very high quality business at a very reasonable price. I think it's really a combination of the volume of deals that maybe our view on competition. We'll also I mean any of this -- the number of deals is almost for sure going to happen. 
 This concept of competition could change at any moment. But that's our -- that's what's fueling sort of our optimism. To your point about this $4 billion enough, we're just always about the cash flow compounding of the enterprise being investment grade, using the leverage and being unbiased and disciplined in our approach. And so we're going to stay true to that and look at every deal on a deal-by-deal basis. 
Operator: Your next question comes from Brent Thill with Jefferies. 
Unknown Analyst: This is David on for Brent. I wanted to ask around there was increased commentary, I think, versus prior quarter around some of the companies and what they're doing around AI. Just if you could just give us an update on the broader AI strategy? And if you guys are charging for any of these AI products, any color there would be helpful on how AI could possibly help with the organic growth of some of your assets in the long term, that would be helpful. 
Neil Hunn: Yes. We'll certainly give you an update on that. So we continue to grind away at this. So we have done a lot of work engaging with all 28 of our businesses, both on the internal productivity-based applications around R&D, customer for live customer support go-to-market, admin, HR, finance, regulatory, et cetera, have a call at lunch with a large group of our leaders today on just that topic. 
 We're starting to see some early wins on productivity, like most of us are in code assistance, marketing content generation, things like that. So cautiously optimistic about productivity enhancements. As it relates more directly to your question around products and the market and monetization. This is going to be a slow and steady race about how do you use these tools to create incremental value for our customers. 
 Again, you know we compete on intimacy. That intimacy leads us to know very specific problems and very specific questions that need to be addressed. We have a new technology set to be able to do that. Companies that have products in the market today using GenAI, Aderant, Deltek, DAT, ConstructConnect and Foundry by our account, there may be a few others. Two quarters ago, I think that the count was 0. And so we like the momentum in that regard. 
 In terms of monetization, it's still early days. Our belief -- like for the moment at least, we're monetizing the GenAI investments by having -- by adding that toolset and capability to our existing products in unique ways and then that is creating more value in the products, which is driving in almost all cases, bookings acceleration with those products, and in some cases, higher price points because of the value that's achieved through the tools. 
 So that's where I leave it. Happy to follow up, say, if you want to add, Jason. 
Operator: Your next question comes from Terry Tillman with Truist Securities. 
Terrell Tillman: Maybe just the first question because it is the most recent addition to the portfolio, and I think you all calculated the opportunity here maybe to continue buying high-quality assets, but maybe even some better growth profiles, good valuations. I'm curious, just an update on where you see kind of on a go-forward basis, the Procare Solutions revenue compounding growth rate where you see that? And then as you've had a little bit of time here, where do you see one of the most untapped growth engines for that? And then I had a quick follow-up for Jason. 
Neil Hunn: Yes. So on Procare when we announced the deal, we talked about how we believe, this is going to be a mid-teens organic growth business. The market is growing 10% or a little north of that. Procare is about 1.5x relative market share. And so with that leadership position and market growth, broker has the right to win that big share and grow above market. 
 In terms of your question, Terry, is bolt-on activity inside of Procare, there's a couple of areas that Janet and her team with the leadership team at Procare are exploring, we. Tuck in a couple of bolt-on type products that sell into the network. But I think at Procare, the bolt-ons are going to be modest on a go-forward basis. 
Terrell Tillman: Got it. Okay. And then just a quick follow-up. I think it was 5% to 6% organic growth and now you've firmly set 6%, so that's good to see. Jason, if you had to think about like what is the biggest driver or maybe it's just a bunch of little things. What is the biggest swing factor in just tightening that and effectively raising the organic? 
Jason Conley: Yes. I mean, obviously, we had a really strong Q1. So part of that is just carrying that through and a lot of that was at TEP and then we had some various small beats across software. So I think it's mainly what we saw in Q1 and then just the confidence that we're going to be able to sort of maintain our prior guidance for the out quarters. 
Operator: Your next question comes from Joe Giordano with TD Cowen. 
Joseph Giordano: Just curious on the jobs in the country, like you look at the jobs data and they're pretty good, but it's generally been like an erosion of white collar type jobs replaced by like part-time blue-collar jobs. And I'm just curious like on a longer term, what are the implications on some of your software businesses that are more headcount driven? Is that trend? I know you won't see it like immediately, but is that -- are you starting to see the implications of that like an outlook basis? 
Neil Hunn: So I would say no, but perhaps the reason is very -- there's some, but very little of our revenue is seat-based pricing. There's some, like I said, -- and where that exists, we're transitioning to a different metric. So as you get more disruption with GenAI or the knowledge workers sort of get more productive, we certainly want to benefit by that, not be penalized by that. But it's not been something that's been brought up by any of our companies in any of our operating or strategy reduce. 
Joseph Giordano: Interesting. Okay. And then just to follow up on the AI discussion in terms of like deployments and the products you're launching here. Has that been like table stakes now? Or is your competition doing the same? Or do you feel like deploying these tools has been a differentiation for your businesses? 
Neil Hunn: So far, it's been very differential. I think the expectation is the competitors will have their response for sure. I'm just double-click on that a bit, though, which is we tend -- we are across all 20 of our businesses, we operate in these very small markets, and we are the largest player in the small market. 
 So we have that advantage around scale in these small markets to be able to do more product development, do more research and development, do more -- invest more and go to market to get these tools there. And so that is a long-term advantage that we have and why we select the businesses we do to be part of the portfolio. The other thing is when you compete on intimacy with Generative AI, all these verticals that we have, we obviously have the knowledge and the content and the data. And that's only half the question. The other half the problem. The other half of the problem, though, is we are so -- we compete on intimacy so we actually know what questions to answer. So we have the content, the data and the question and now the Generative AI, it's just another tool in the toolkit about how to solve those problems. So we like our long-term competitive positions. 
Joseph Giordano: Just on that, if I could just sneak in a follow-up on that. Like is this an area -- I know generally, once you acquire a business that kind of runs on its own, but is this an area where like the corporate can flex a little bit because these solutions tend to be expensive to deploy. 
 So is this an area where like Roper corporate could be like all we are making a decision to kind of allocate capital to the businesses that need this specifically outside of the natural free cash flow dynamics of that specific firm? 
Neil Hunn: So these tools are not free, but they are substantially less expensive than these large language models that have to be developed, right? And so there is the research and development part of the application of the LLM and what we're doing, and then there's the operational costs. Jason did a teach-in a couple of months ago about the ROI case studies and all of this stuff. 
 So far, we've not seen an ROI case study that's been challenged in any meaningful way on this front. I'm sure that will happen as you start to work down the curve of opportunities. But we're not -- at the moment, we're not going to try to do a one-size-fits-all Roper Generative AI solution because it would just not work because of the 28 different applications. Jason, anything you want to add. 
Jason Conley: Yes. No, that's right. I mean we do have benefits and scale with some of the agreements with our large cloud service providers. So that's been beneficial for companies to do some experimentation at a very low cost. And then we're just allocating a lot of mind share towards that, so we can collectively get better. But in terms of like allocating capital that just hasn't been front-centered out. The company has a really compelling value proposition. We're always going to entertain that, but that's not what we're seeing today. 
Operator: Your next question comes from Joe Ritchie with Goldman Sachs. 
Joseph Ritchie: So in your prepared comments, Neil, you referenced how some of your new SaaS-based offerings were helping certain businesses. I'm just curious as you kind of think a look at the portfolio as a whole, like how far along are you in terms of rolling out additional new platforms? And how much room is there to go from here? And if there are any examples that you want to highlight, that would be great across the portfolio. 
Neil Hunn: So I just want to make sure we understand it or answering the question you're asking is that essentially how far along are we on our SaaS journey? And what's that look like? 
Joseph Ritchie: Yes, that's exactly right. And if there are examples across the portfolio where you think you're -- you have like additional opportunity, I'd love to just hear about some of those examples. 
Neil Hunn: So Jason why don't you take on the first part, I'll take the second part. 
Jason Conley: Yes. At the macro level, we're a little over $900 million of maintenance today, maintenance revenue and if you go back maybe in the last 5 years, we've converted the base of maintenance probably like in the mid- to high single-digit area. So we still have a lot of room left, and we convert that maintenance revenue at 2 to 2.5x when we go to SaaS. And so that's kind of where we're at today. 
 And there's a -- Neil can talk about the specific businesses. There's a handful of businesses that are transitioning. I'd say Aderant is one that's probably had the biggest migration over the last 3 or 4 years, which happened right at co -- that was an industry that was reluctant to move to the cloud and then all of a sudden, once a few firms when they all win. So they're right in the in the thick of things in terms of that cloud migration. But Neil, do you want to talk about some other. 
Neil Hunn: As Jason said, I mean, it is this $900 million of on-premise maintenance is concentrated in a handful of businesses. The examples we give would start with Deltek. It's both on the cost point, which is our government contracting core product and Vantage Point, which is their private sector, their engineering, architecture product.
 You might have seen, for instance, on cost point, this quarter, Deltek achieved FedRAMP Moderate ready status. So there is a requirement the government puts on for security. It's a meaningful checkpoint for cost point in the cloud, almost all net new for the private sector part of Deltek's book is sole and Vantage Point, which is in the cloud and SaaS enabled. Jason talked about Aderant, 80-plus percent of all of Aderant bookings today are in the cloud, talked about PowerPlan. PowerPlan has one, a handful of core applications. I would say their #2 application is cloud-enabled and being deployed today. So we're definitively rolling through that book in that product set and building into this long-term SaaS business. 
Joseph Ritchie: Got it. That's super helpful. I'll just leave it there. 
Operator: Your next question comes from Brad Hewitt with Wolfe Research. 
Bradley Hewitt: So you talked about the strength that pipeline in the quarter. I saw you announced a new CFO for that business with a focus on kind of driving the long-term growth strategy. Just wondering if you could update us on kind of the normalized growth profile of that business and what you see as kind of the biggest opportunities to perhaps accelerate growth in that business going forward. 
Neil Hunn: Yes, I'll take the first part. I'll let Jason talk about the growth outlook. So -- it's not -- I mean, we have a new president there, Pat McDonald. He is just hired as new CFO, as you referenced, really like the leadership mindset, the competitive orientation, the learning orientation, the building capability to be able to take long term, in that short term that the new leader brings to iPipeline. 
 His predecessor [indiscernible], he's been a long-term Roper leader, did a great job for a couple of years setting that business up. Retention is super strong, love sort of the market -- this company is really poised for market share gains. It's good market focus. The competitive environment, one, is tilting our direction for sure. The business has network effects. So I really like the momentum and what we're poised to do in that business. And then, Jason, I will let you take the growth question. 
Jason Conley: Yes. I mean I think it's playing out as we thought it would when we acquired it back in 2018, 2019 area, it's in the high single-digit plus range and maybe it tilt a little higher down the road. But that's sort of where it's tracking. And just Adam Boone was added to the team a month ago, and we're excited about him joining along with Pat. So we're excited about the process for our pipeline. 
Bradley Hewitt: Okay. Great. And then it looks like growth in network in Q1 was maybe a few points better than expected. Your guidance for the rest of the year kind of implies revenue flattish sequentially on an absolute basis. 
 I would assume most of the businesses in that segment would see kind of modest sequential growth throughout the year. So just kind of trying to understand if there are any potential offsets that maybe if that's DAT. Just any thoughts on kind of sequentials relative to Q1 levels in network. 
Jason Conley: Yes, sure. So we talked a little bit about MHA had a really strong quarter, and we think they're still -- they're going to continue to grow this year. But Q1 was especially strong as they had a contract renegotiations. So we got a little bit of a bump in organic growth in the first quarter. And then DAT & Loadlink, they'll continue to be down this year. And so maybe a touch lower than Q1. So that's what's driving the sort of low single digits throughout the rest of the year. 
Operator: Your next question comes from Patrick Baumann with JPMorgan. 
Patrick Baumann: Lot of ground been covered. Just a couple of cleanups here. Sticking with the Network Software segment, it's seen really good margin expansion for a couple of quarters now. Could you remind us what's driving that? And if this 56%, 57% is sustainable and could potentially move up further in coming quarters? 
Neil Hunn: Yes. So we touched on this last year, just DAT getting ahead of where they saw the market was going and taking some of the fixed costs out of the business. And so we're just realizing that through the first 3 quarters of this year. We think the margins in that -- I don't think it's going to get -- it's going to expand further. We're sort of in the 55%, 56% range. We expect that to continue throughout the year. 
Patrick Baumann: Okay. Got it. And then lastly, just the second quarter. Any color you could give us on organic growth expectations? I know you gave it for 2Q to 4Q. Any difference between second quarter and that 2Q to 4Q guide? And then also on free cash flow, typically lumpy from quarter-to-quarter. So wondering if you could give any kind of color on that relative to the first quarter. 
Neil Hunn: Yes. I mean I think the organic growth expectations are the same in the second quarter as they are for the year. So no real big swings there. And then cash flow on the second quarter, it's always the quarter that we make to federal tax payments. So it's always the lowest of the year. So that's really the only dynamic I would point out there. If you look over prior years, that's always our low point, but still expect to grow, of course. 
Operator: Your next question comes from Alexander Blanton with Clear Harbor Asset Management. 
Alexander Blanton: I noticed that you're forecasting or guiding to organic growth of 6% for the year, correct? But you had 8% in the first quarter. So are you factoring in some economic weakness in the U.S. in that forecast? 
Jason Conley: No. I mean, I think it all plays out, Alex, in our products segment and our TEP segment over the first quarter, we just had a better compare and just the ramp that we had in Neptune last year, it's sort of the comps sort of normalize out in the balance of the year. So it's really just that. It's no more complicated than that. And so that's why Q1 was -- and that's -- when we came into the year, that's what we had indicated that Q1 was going to be the kind of the high mark in terms of organic unless things change in our assumptions. 
Neil Hunn: And I would just add, Alex, to what Jason said, we assume that there is the freight conditions and whatnot that, that is muted, but we've assumed that all the way through, it's not a new assumption, but there is definitely back half macroeconomic weak impacts in that part of our business. That did not change, but it's embedded from our original guidance. 
Alexander Blanton: And which part of the business? I missed that. 
Neil Hunn: The transportation part, the DAT & Loadlink inside of network, the Freight Matching business. 
Operator: This concludes our question-and-answer session. We will now return back to Zack Moxcey for any closing remarks. 
Zack Moxcey: Thank you, everyone, for joining us today. We look forward to speaking with you during our next earnings call. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.